Operator: Good morning, ladies and gentlemen. And thank you for joining today’s FARO Technologies Third Quarter 2019 Earnings Release Conference Call hosted by Michael Burger. I will now turn the call over to Michael Funari at Sapphire Investor Relations.Please go ahead sir.
Michael Funari: Thank you and good morning. With me today from FARO are Michael Berger, Chief Executive Officer and Allen Muhich, Chief Financial Officer. Yesterday, after the close, the company released its financial results for the third quarter of 2019. The related press release and Form 10-Q for the third quarter are available in FARO's website at www.faro.com. In order to help you better understand the company and its results, management may make forward-looking statements during the course of this call. These statements can be identified by words, such as expect, will, believe, anticipate, plan, potential, continue, goal, objective, intend, may and similar words. It is possible that the company's actual results may differ materially from those projected in these forward-looking statements. Important factors that may cause actual results to differ materially are set forth in yesterday's press release and in the company's Form 10-K for the year ended December 31, 2018, and Form 10-Q for the quarters ended March 31, 2019, June 30, 2019 and September 30, 2019. During today's conference call, management will discuss certain financial measures that are not presented in accordance with U.S. Generally Accepted Accounting Principles or non-GAAP financial measures. In our press release, you will find additional disclosures regarding these non-GAAP measures, including reconciliations of these measures to comparable GAAP measures. Management believes that these non-GAAP financial measures provide investors with relevant, period-to-period comparisons of our core operations. These financial measures are not recognized under GAAP and should not be considered in isolation or as a substitute for a measure of financial performance prepared in accordance with GAAP. Now, I’d like to turn the call over to Michael.
Michael Burger: Thank you, Mike. Good morning and welcome to our call. Our third quarter results were disappointing. We closed the quarter with revenue of $90.5 million down 9% when compared to the third quarter of 2018. As a result, we reported a non-GAAP net loss of $0.01 per share. The continued market uncertainty resulting from trade tensions adversely affected our demand leading to third quarter financial results. This is a similar situation recently reported by many of our industry peers. Allen, will provide you with more additional insights into the quarter's financial performance. However, I want to share with you some of the progress we've made on our strategic planning process. As discussed last quarter, one of my first priorities after joining FARO was to conduct a series of discussions with our employees and customers in an effort to understand the company's technologies, markets, opportunities as we chart the path forward for FARO. I've now completed more than 121 one-on-one interviews with employees, customers, vendors, as well as some of our marketplace peers to help build a point of view on the current state of FARO as well as what I believe we can become. While our full plan remains incomplete, I did want to share with you a couple of key elements that will help you understand where we're headed. Our customers acknowledged that FARO has been a key provider of hardware that enables some of the industry's fastest and most accurate three dimensional data capturing. That said, I don't believe it's enough to simply provide world class hardware products. We need to focus on and gain a better understanding of what are problems that customers are trying to solve and in terms – and in turn provide them the needed solutions. Not only for capturing the 3D data, but also provide the tools and services that allow them to easily turn the captured data into workflow based information. In other words, we need to move up the food chain, by providing complete solutions that enable our customers to realize the full potential of our virtualized world. I believe we have a unique opportunity at FARO to transform these products into an environment in which any federal customer, regardless of industry application or choice of hardware used to capture the data, can enter, share, store, analyze, and interact with this data. Let me share with you an example that illustrates what we believe is a solutions-based market opportunity. Within the operation of a high-precision manufacturing facility, our products are used to capture with a high degree of accuracy, a factory image that includes the building layout, fixture and tooling placement, which results in a manufacturing workflow. Effectively creating a digital twin of the factory in a virtual environment, this data can be time-based and use to measure tool tolerances, workflow efficiencies or inefficiencies and relay out simulations to name of you. Giving the factory operator the ability to simulate and anticipate the impact of future changes all within a virtual digital model of the existing facility, thereby reducing the risk profile of any factory change or facility change. This example provides FARO and opportunity not only for a hardware sale but also reoccurring software and services revenue by virtue of ongoing utilization of our solutions. This approach by its very nature is also exceptionally sticky. To enable success our marketing teams truly need to understand our customer's business and workflow so they can guide our development teams on the products and solutions that solve real world problems. In doing so, our objective is to become much more market and customer focused while continuing to leverage our technology leadership. To lead this process, we have recently added a new VP of Product Marketing to the team, whose charter is to navigate this transition. As part of our strategic planning process, we've also identified a need to change our go-to market strategy. Today, we are fortunate to have a large portion of our revenue come from repeat customers. However, several years often pass between major purchases, requiring us to stay in front of and attached to a customer to a relatively long buying cycle. In today's model, we often have multiple sales people representing different products from our portfolio calling on a single customer. From a customer's perspective, this can be confusing and suboptimal, not to mention expensive and unscalable for FARO. In an effort to streamline and provide a more integrated experience to our customers, we plan to enable our members of our sales team with the full breadth of the FARO product line within their assigned territory or account base, while technically supporting them with a group of product specialists. We believe that pivoting to this well-established sales model which is used by many of our peers in the technology space, will focus our sales team on better understanding our customer base and provide the foundation of a scalable sales model that will enable us to grow much faster than sales headcount. We've already begun to make strides in this new direction and plan to be fully transitioned to the new sales model in the first half of 2020. To aid in this initiative, we will be hiring a Senior Vice President of Sales to lead our global sales team. We have recently hired a new VP of Corporate Marketing who was chartered with launching a marketing driven customer engagement process that will leverage current IT technologies to help manage our customer relationships, a task that has previously fallen entirely to our sales team. Further, we'll be transitioning our marketing qualified lead generation process to emphasize quality over quantity as an additional step towards improving sales efficiency. Finally, while our go-to-market approach will continue to primarily be B2B relationship, we think that there is an opportunity to leverage B2C efficiencies into our sales process. As an example, we have soft launch an e-commerce site, which will initially enable customers to more effectively purchase post-sale items such as service, contracts and training. However, our intention is to expand our e-commerce offering aggressively over time. We will also be increasing our use of indirect sales channels where it makes sense. As I mentioned previously, our full strategic plan remains in process. That said, I look forward to sharing with you the full extent of our plan including an updated financial success model in early 2020. We had an enviable set of technologies that have earned us a meaningful market share in each of our large and growing target markets. While near-term macro industry trends and economic uncertainty will likely be a headwind to our near-term top line growth, I strongly believe the revised strategies that I've outlined for today along with others will enable FARO to grow the top line and the bottom line at above market rates over the long-term. With that, I'll turn the call over to Allen for an overview of our third quarter financial results.
Allen Muhich: Thank you, Michael, and good morning everyone. I joined FARO about three months ago because I believe combining the strength of FARO’s product offerings in the 3D sensing market with the strategies Michael just described, positions the company well for increased shareholder value in the years ahead. Moving onto our financial results, total sales were $90.5 million for the third quarter of 2019, as compared to $99.7 million for the third quarter of 2018. Similar to what others in our space have indicated, this year-over-year decline is primarily the result of continuing softness in many of the companies served markets, due to the uncertainty surrounding ongoing trade disputes and the effect it's having on many countries in Asia Pacific, as well as the broader automotive industry. Service sales were up 13% year-over-year to $26.9 million, reflecting our continued focus on the sale of aftermarket products, such as training and tool calibrations. Product sales were $63.6 million down 16% as compared with $75.8 million in the third quarter of 2018. In the third quarter, charges related to the previously disclosed GSA matter were a 145,000 consisting of an accrual for interest expense. I should note that we have no further update on the status of our self reported GSA pricing issue, as we wait for a response to our proposed resolution. New order bookings were $94.8 million for the third quarter of 2019, down 6% as compared with $100.5 million for the third quarter of 2018. And our 3D manufacturing segment, third quarter 2019 sales were $56 million, as compared with $64.2 million for the same quarter last year. This decrease was mostly driven by lower units sales, as a result of the previously mentioned Asia Pacific and automotive market softness. In our Construction BIM segment, third quarter of 2019 sales were $23.9 million, as compared to $23.7 million for the third quarter of 2018. In our Emerging Vertical segment sales were $10.6 million for the third quarter of 2019, as compared with $11.8 million for the same prior year period. This decrease was mainly result of lower unit sales coming from prior acquisitions recorded in this vertical. GAAP gross margin was 56.1% and non-GAAP gross margin was 56.4% for the third quarter of 2019, as compared with 55.8% for the same prior year period. Overall, our non-GAAP gross margins increased as a result of a nearly 10 percentage point increase in our service business gross margins. As I mentioned previously, the sales efforts to ensure our customers maintained well calibrated tools has been a focused area that has also resulted in higher service profitability. GAAP operating expenses were $56.7 million and included approximately $4 million in acquisition-related intangible amortization and stock compensation expenses. Non-GAAP operating expenses of $51.1 million or $800,000 higher than Q3 of 2018, as a result of increased sales headcount. GAAP operating loss was $5.9 million for the third quarter of 2019, as compared with an operating loss of $2.7 million for the third quarter of 2018, driven by the lower demand environment. Adjusted EBITDA was $3.8 million or 4% of sales. Our GAAP net loss was $6.2 million, our non-GAAP net loss was $153,000 or $0.01 per share for the third quarter 2019, compared to non-GAAP earnings of $0.26 per share in Q3 2018. We continue to maintain a strong capital structure with high liquidity and no debt. In the third quarter of 2019, we consumed $1.5 million in cash as a result of our near breakeven non-GAAP financial performance and payments of $2.9 million in contingent consideration for previously disclosed acquisitions. Our accounts receivable balance of $64.7 million, decreased in the quarter by approximately $10 million, while days sales outstanding remained relatively steady at 65 days. Combined short and long-term inventory decreased slightly to $109.3 million from $111.4 million in the second quarter of 2019, and accounts payable of $11.7 million decreased $4.5 million in the quarter. Overall, our combined accounts receivable, short and long-term inventory and accounts payable balance netted to $162.3 million or over $9 per share with a cash conversion cycle of 291 days. Improving overall working capital levels will be an important area of focus for us. Finally, I want to comment on a couple of reporting changes we made this quarter. First, you'll have noted an increased use of non-GAAP financial measures in our communications. Our definition of non-GAAP is typical in the industry, where we estimate stock compensation and acquisition related intangible amortization expenses, along with material non-recurring items. We believe this supplemental information increased as the transparency of the underlying performance of our operations. Additionally, our reporting no longer calls out depreciation and amortization expense, as its own line reported within operating expenses. Instead, we are including those expenses in the function they support on the income statement. Taken together, we believe these changes provide a reporting in a way more consistent with industry practice, and therefore enables improved compatibility to our peers. For your convenience, our press release includes supplemental tables including historical trend of our previously reported results updated to reflect these changes. This concludes our prepared remarks, and at this time, we'd be pleased to take any of your questions.
Operator: [Operator Instructions] We'll take our first question from Andrew DeGasperi with Berenberg. Please go ahead. Your line is open.
Andrew DeGasperi: Thanks for taking my question. In terms of the three – well, the three pronged strategy you have, I wanted to focus a little bit on the software. It sounds like there's going to be a big change in the software, and potentially moving to a software-as-a-service model. I just wanted to know – I know you're going to discuss most of this on your Capital Markets Day. But just trying to understand mostly, the timing around this, do you have the necessary tools to transition to this or would M&A be a vehicle for that? And then maybe, if you were to transition to this model, do you potentially see a drop in sales from your perpetual licensing that you currently provide as part of the hardware?
Michael Burger: It's a great question. Initially, we believe we've got a lot of the basic capabilities today. And by the way, the company has been working on a software-as-a-service interface for some period of time. So this is not necessarily a brand new initiative, but I think the real issue or the real difference will be emphasis. We have quite a large number of software engineering organizations today, I think we actually have almost 13 individual software platforms that have been developed over time. And our challenges to sift through those, optimize where we believe the real value is and then offer it as kind of a – if you will an environment. And so we've been working on this for some period of time, we think initially we have enough resources. But I think over time, we will grow the software resource and that would be part of our R&D spend and we'll be part of the discussion that we talked about when we release our go-to-markets model, which – our success model which we'll talk about early next year.
Allen Muhich: And then as it relates to the transition to a more of a recurrent revenue stream as opposed to a perpetual license model, we don't anticipate seeing a drop in revenue over the time horizon thought we make that transition, we think that it might level our software revenue out as a percentage for a period of time, and then ultimately grow as I'm sure you've seen other companies make that transition. But again, we don't expect a material decrease in any software revenue as we go through the transition.
Andrew DeGasperi: Got it. And just – I don't know, if you can disclose it, but as for – in terms of timing around this, do you think this is a 2020, early 2020 event where you're going to start pushing this or potentially later on?
Michael Burger: I think it's a transition. We believe that it's something, as we talked about, we've been developing the capability for some period of time. I believe that we will be in a position to kind of roll it out second half of 2020.
Andrew DeGasperi: Got it. And just on the indirect sales trend, I think you made some comments about expanding that. I think, FARO on the past was changed to direct, because they felt the close rates were higher. But it sounds like you're potentially moving back in that direction. Can you maybe elaborate on that?
Michael Burger: It's not a major shift from direct to indirect, we still believe in the direct sales model. We do believe that we could leverage indirect sales models better. And so as I said in our script, we will continue to look at it and where it makes sense we'll use it, but it will not replace our direct sales channel going forward, it would be an augment too.
Allen Muhich: Yes, it’s more of an opportunities, where it makes sense. We might deploy it, but we're certainly not adverse to it by its varying nature.
Andrew DeGasperi: Got it. And then lastly for me in terms of optimizing the sales force, this potentially deliver incremental margins, if you don’t see a recovery in the revenue side?
Michael Burger: I'm sorry, I don't understand the question. Could you repeat it?
Andrew DeGasperi: In terms of your strategy on optimizing the sales force.
Michael Burger: Right.
Andrew DeGasperi: Is there a potential for margin improvement without any increase in revenue or in other words without any improvement in revenue?
Michael Burger: We believe so, yes. And I think this will be part of the success model that we'll talk about.
Andrew DeGasperi: Sounds good. Thanks again.
Michael Burger: Thank you for the questions.
Operator: We'll take our next question from Greg Palm with the Craig-Hallum Capital Group. Please go ahead, your line is open.
Danny Eggerichs: Hi guys, this is actually a Danny Eggerichs on for Greg today.
Michael Burger: Hi Danny.
Allen Muhich: Hey, Danny.
Danny Eggerichs: So just wondering on that sales force. Is there any way to quantify those disruption challenges to the top line there for the quarter?
Michael Burger: Actually, we don't believe – I think that changes is scary. And – but we don't believe – we believe that we've got a very talented sales force today, that is primarily direct. And so the transition in our view should be relatively straightforward. I think the objective should be to really continue the revenue – in revenue growth as we have in the past. But we do not see – there is always risk, but we don't – we're not really concerned about the disrupts in short-term.
Danny Eggerichs: Got it. Appreciate that. And then I guess in light of the more challenging broader macro environment, just wondering what you're seeing throughout your competitive environment?
Michael Burger: Yes. We've seen softness primarily in Asia and I think actually, we've read most of our peers releases and it looks like they're seeing exactly the same effect. We don't believe that we're seeing significant share loss anywhere. So we believe this is probably primarily micro economic driven. And so we've got a lot of new products in the market. We're driving new product adoption and I think we are still very well positioned when the economy returns to kind of a normal state.
Danny Eggerichs: Got it. That's good. And then just one last one for me. Looking at the emerging verticals, revenue down low-double digits, year-over-year, I know you said that this was due to possibly lower unit sales coming from prior acquisitions, but I guess is there any deemphasizing or something there or what's the cause those lower unit sales from those acquisitions?
Michael Burger: Yes. I think this is part of the strategy that we're going through and we'll be part of our strategy rollout when we release it early next year. We do believe that there's some opportunity for optimization in some of the acquisitions that have been purchased over time. All of these acquisitions, I think are really technology focused, granted there was a business associated with several of them. I think we were a little bit disappointed with the business aspect of some of these technology acquisitions, that being said, we're overall relatively pleased with the contribution from a technical perspective. And so part of the strategy is really to kind of rationalize the business versus the technology that was originally purchased. So that's part of the sifting that we're going through and will be reflected in our strategy going-forward.
Danny Eggerichs: All right. Great. That's all from me. Thanks for the color.
Michael Burger: Thanks.
Operator: [Operator Instructions] We'll take our next question from Hendi Susanto with G-Research. Please go ahead. Your line is open.
Hendi Susanto: Good morning Michael and Allen.
Michael Burger: Good morning.
Hendi Susanto: Can you characterize the current market environment in terms of pricing pressure, market competition and feasibility?
Michael Burger: Yes, I think it really hasn't changed from last quarter as much. I think we've not seen any big competitive pricing moves from our competitors that cause any more concern than the normal course of business. We don't – we have not seen a general change or shift competitively. I think we're all concerned about many of the projects that we've been working on in Asia, they continue to be pushed. We don't believe that the projects are going away, but I think access to capital has somehow dried up and particularly in China and Japan. So we're watching that very closely, but we don't think that's driven primarily by competitors. We think that's driven by kind of the macro economic situation.
Hendi Susanto: And then we did go to micro economic let's say if theoretically U.S-China trade tensions get resolved, how soon and how fast can market demand recover in your opinion?
Michael Burger: Relatively quickly, I believe. I think, we – our situation in China, I don't believe is directly affected by tariffs as much as it is by the sentiment of the Chinese customers to move away from buying U.S. products and so. I think if that was to be resolved, that would have a positive impact, I would think within a quarter. That said, it doesn't look like that's going to happen in the short-term and we're not planning on it. So we've got to come up with our own resolution to how to resolve this. So right now, I think we believe that certainly for the next quarter that the environment that we're in today probably won't change.
Hendi Susanto: Got it. And then anything that might change in Japan?
Michael Burger: We've got some major projects going on in Japan. We've seen some push out, primarily in automotive. And so I think when the automotive market recovers, I think we'll be in a really good position. We continue to invest in Japan. We believe the automotive businesses is absolutely perfect for FARO and we've had a lot of success historically there, so we're going to continue to focus on it. But I think that is a macroeconomic driven demand situation and I think once resolved we should be a benefactor.
Hendi Susanto: Got it. Thank you Michael. And thank you Allen.
Michael Burger: You're welcome. Thank you.
Operator: And there are no further questions on the line at this time. I will turn the call to your CEO, Michael Burger for any closing comments.
Michael Burger: Thank you very much. We really appreciate you attending the call today and we look forward to our next quarter in which hopefully we can go into a little bit more depth around our strategy. Thank you.
Operator: This does conclude today's program. Thank you for your participation. And you may now disconnect.